Patrick Allen Lytle: Good afternoon. This is Pat Lytle, Senior Vice President of Finance. Welcome to SM Energy's Second Quarter 2025 Financial and Operating Results Webcast. Before we get started on our prepared remarks, I remind you that our discussion today will include forward-looking statements. I direct you to Slide 2 of the accompanying slide deck, Page 5 of the accompanying earnings release and the Risk Factors section of our most recently filed 10-K, which describe risks associated with forward-looking statements that could cause actual results to differ. We will also discuss non-GAAP measures and metrics. Definitions and reconciliations of non-GAAP measures and metrics to the most directly comparable GAAP measures and discussion of forward-looking non-GAAP measures can be found in both the earnings release and slide deck. Today's prepared remarks will be given by our President and Chief Executive Officer, Herb Vogel; our Chief Operating Officer, Beth McDonald; and our Chief Financial Officer, Wade Pursell. I will now turn the call over to Herb.
Herbert S. Vogel: Thanks, Pat, and good afternoon, everyone. We had a truly standout second quarter as record production volumes drove a strong financial beat across many metrics with the Uinta Basin standing out as a major driver of our success. We paid off our credit facility and built a cash balance of over $100 million, progressing nicely towards our 1x leverage target, which we expect to achieve near year-end in the current commodity price environment. Record production volumes totaled 209,000 barrels of oil equivalent per day, exceeding the midpoint of guidance by 5%, driven by top-tier asset performance and strong execution. Uinta Basin volumes outpaced expectations, and our operations and marketing teams worked effectively to ensure timely sales by streamlining logistics and optimizing takeaway. These operational wins translated to bottom line strength with beats versus consensus for adjusted net income, adjusted EBITDAX and adjusted free cash flow. An important milestone was achieved during the second quarter. We successfully completed the integration of our Uinta Basin assets and entered the optimization phase. Our team is actively pursuing margin-enhancing opportunities across the entire value chain, optimizing well design and deepening their understanding of the 17 prospective intervals across our Uinta Basin acreage position. We are proud of the results we achieved during the first half of 2025. However, we recognize that the industry still faces challenges for likely the remainder of the year and into 2026, including the potential impact of OPEC+ supply decisions, sanctions, tariffs or other geopolitical tensions. While we can't predict these outcomes, we continue to manage commodity price volatility and risk through our hedging program. Additionally, our supply chain team continues to mitigate tariff-related risks and pursue deflationary savings. We are well positioned to weather a lower oil price environment, if it materializes due to our increased scale, low breakeven program and a strong balance sheet with ample liquidity. As we said in May during our first quarter results webcast, our 2025 plan was developed to optimize the allocation of capital across our 3 core assets with a plan already in place to slow the pace of development throughout 2025. We had dropped from 9 to 7 drilling rigs during the first quarter and are now down to 6. On the completion side, we ran double barrel frac operations in the Uinta Basin into the second quarter and reduced to single barrels during the quarter. Wade will speak to our capital expenditure expectations later in the call, but we are obviously very pleased with our operational execution during the first half of the year. Our team continues to drive differentiated performance, which Beth will speak to shortly. The successful integration of our Uinta Basin assets, coupled with strides in capital efficiencies and optimization of takeaway capacity are just a few examples of how we're unlocking value across the business. We remain focused on executing a multiyear plan to maximize free cash flow, reduce debt to our target leverage and deliver on our stockholder return commitments. I will now turn the call over to Beth for operational highlights and progress made during the quarter. Beth?
Elizabeth Anne McDonald: Thank you, Herb. I'll begin on Slide 6 by stepping back to reflect on how far SM Energy has come over the past 5 years. Our growth has been intentional and strategic with the Uinta Basin acquisition serving a pivotal milestone, delivering a step change in scale and positioning us for even greater impact. This chart illustrates that since year-end 2020, we have significantly grown estimated net proved reserves and net production each by over 60% with an increase in oil mix contributing to higher production margins. Amazingly, over the same period, our share count remained flat, and we cut our leverage ratio by half from 2.3x at the end of 2020. We believe this to be a clear reflection of our team's execution and vision. And although we've been in business for nearly 120 years, we're just getting started. On Slide 7, we highlight many of our technology initiatives. One example is our talented technical team developed and advanced machine learning models to refine SM well designs. And through this workflow, we have realized the benefits of these investments by delivering stronger performing wells and higher cash flows. On a later slide, you will see this illustrated as our Howard County wells perform over 30% better than peer operated wells. Stay tuned as we continue to preview our innovative efforts. Next week marks our 16th Annual Geosciences and Technical Conference deemed next horizons, honoring our origins and forging ahead. I'm excited for our employees together for 3 days to learn from each other and collaborate on bold ideas as we build for the future. Moving on to the next couple of slides, you'll see familiar graphs plotting average cumulative oil production for our 3 core assets. What stands out is how each asset consistently delivers strong competitive results within our portfolio and how they continue to outperform peer operated wells. That's a direct result of our team's discipline in capital allocation, the depth of our technical knowledge, which I just referenced and our unwavering focus on execution. It's this combination that drives our differentiation, and it shows up clearly in the data. As highlighted later in this deck, we hosted various federal, state and local officials on a field tour in Utah, and we're proud to hear State Senator Ron Winterton, comment on our bold leadership in deploying cutting-edge technology. We believe that our recent well results on Slide 10 showcase just that. During the quarter, we benefited from strong well performance in all 3 of our core assets. The robust performance of these 22 new wells in our Uinta Basin, combined with our marketing team's outstanding work to improve transportation logistics and optimize takeaway contributed meaningfully to our second quarter production beat. The South Texas Austin Chalk continues to generate exceptional returns. This is an impressive pad that is projected to reach payout in just 8 months. Next up on Slide 11, we're highlighting some of our early integration and efficiency wins in the Uinta Basin. The team truly hit the ground running and has shifted into optimization mode. You can expect that story will continue to evolve as we evaluate the results of our first fully designed and executed SM pad development in early 2026. During the quarter, we achieved a new milestone with a record daily volume transported from Price River Terminal via rail. As a reminder, the waxy crude produced out of the Uinta Basin commands a market premium. And in the second quarter, the Uinta Basin had the highest cash production margin of all 3 of our operating assets. We also successfully drilled the first 3-mile lateral in the upper cube in the basin, setting the stage for future development and higher returns. Lastly, we safely relocated the centralized remote e-fleet, which will now frac over 30 wells into 2026 using 100% recycled water. We also started up our sand conveyor system known as the [ Sand Slinger 3000 ], which reduces costs, eliminate sand truck traffic and improves overall safety. On Slide 12, we spotlight our Texas assets, long-standing pillars of consistency and performance within our portfolio. This slide shows that reliable execution day in and day out results in efficiency gains. Since 2022, we have reduced our average D&C cost per foot by 15%. Notably, we recently drilled the 2 fastest Woodford wells in the Midland Basin in our history, achieving speeds 25% faster than previous wells. Further, we continue to extend the length of our laterals, successfully completing more 4-mile wells in the Midland Basin, while also evolving our well design to further enhance performance and efficiency. In South Texas, we are utilizing lease gas to power frac operations and optimizing sand logistics to reduce nonproductive time and save costs. Finally, turning to Slide 13. This summer, we welcomed several groups to Utah for field tours, giving them a firsthand look at the uniqueness and safety of our operations. As part of our outreach, we partnered with the Utah Petroleum Association and the Uinta Basin Technical College to host various federal, state and local officials. It was a collaborative effort that reflects our commitment to being a responsible operator and an engaged neighbor, one that values transparency, education and long-term relationships. And with that, I will turn the call over to Wade to talk about second quarter financial results. Wade?
A. Wade Pursell: Thank you, Beth. Good afternoon, everyone, and thanks for joining us today. I have 3 parts to my discussion this afternoon, and the summary is: one, performing at a high level; two, prioritizing debt reduction; and three, plan intact. If that's all you remember from my part, that will be enough. Now for some details. First, performing at a high level on Slide 14. The team performed at a very high level in the second quarter, delivering a record for quarterly net daily equivalent production and beating the midpoint of our guidance by 5%. Oil production was even stronger at 115,700 barrels per day or over 55% of total production. Financially, we delivered huge beats to consensus estimates, including adjusted net income, adjusted EBITDAX and adjusted free cash flow. Production outperformance was driven by a few factors. We successfully pulled forward some of our activity into the second quarter because of more efficient drilling and completion operations in the Midland and Uinta Basins. Importantly, with these higher-than-expected volumes, our team's efforts to streamline transportation logistics and optimize takeaway were key to selling the incremental barrels. In addition, our base production in Texas outperformed our expectations. Commodity prices were more challenged during the quarter than in the first quarter, but our hedges offset some of the weakness. On the cost side, operating costs were down 7% per BOE sequentially, driven by lower LOE and lower production taxes. We experienced lower LOE during Q2 due to the deferral of certain workover activities until the second half of the year and higher production volumes, resulting in fixed cost being lower on a per BOE basis. Lower production taxes resulted from lower realized commodity prices. Transportation expense per BOE was 5% higher sequentially due to the Uinta Basin becoming a greater part of our total production mix. As you'll see on Slide 20, our cash production margin was resilient in a lower commodity price environment. Importantly, our Uinta Basin cash production margin exceeded our Midland Basin margin for the second quarter. We expect each of our operating areas to generate strong margins through the end of the year. Turning to capital. Second quarter CapEx came in slightly higher than guidance as a result of accelerated drilling and completions. Operational efficiencies pulled forward 2 net drills and 6 net completions in the quarter. More on how this impacts our full year capital estimates in a moment. Bottom line, adjusted free cash flow for the quarter funded our fixed quarterly dividend of $0.20 per share and annualized yield of 3%, provided for the repayment of the remaining outstanding balance under our credit facility and resulted in cash on hand of over $100 million at June 30, which is a nice segue to the balance sheet on Slide 15, which I summarized as prioritizing debt reduction. That describes our general philosophy while our leverage is above 1x. Our balance sheet continues to be in very good shape. With cash on hand and an undrawn revolver, we finished the quarter with substantial available liquidity of $2.1 billion and net debt to adjusted EBITDAX at 1.2x. Remember, this leverage ratio only includes Uinta EBITDAX since the October 1 close date. Pro forma, if we include an estimate of XCL EBITDAX in the trailing 12-month number for the full 12 months, the leverage ratio would be just under 1.1x. Our priority of reducing leverage to the 1x level remains on track, and we expect to meet this target near year-end, assuming current commodity prices. Until then, we will generally prioritize debt reduction before directing free cash flow towards additional share buybacks. Moving now to Slide 16. We have continued to layer on hedges for a portion of our expected oil and gas production in 2025 and 2026 and a portion of our expected gas production in 2027. We're now hedged at 46% of expected remaining 2025 oil production and 45% of expected remaining 2025 natural gas production. You can see the appendix for a full summary of our hedges. Finally, I will move on to the third topic, which I summarized as plan intact. Slide 17 provides an update on our expectations for the rest of the year. As a reminder, our 2025 plan, as described in February, provided for 20% production growth and 30% oil production growth, which now looks more like 38%. We're making a few updates to our guidance as a result of first half performance and expectations for the second half. Production, we're reiterating our total net production of 200,000 to 215,000 BOE per day, while increasing the oil contribution to 53% to 54% or approximately 106,000 to 116,000 barrels per day at the midpoint. This reflects the greater contribution from our Uinta Basin assets. Capital expenditures. We're updating our full year total capital expenditures guidance to approximately $1.375 billion as well as increasing our expected number of net drilled wells to 115 with no change in expected net completions. This increase in guidance primarily reflects expected capital expenditures for non-operated projects, which we now have a clear line of sight to. Given the planned timing of turn-in lines, these nonoperated projects will not contribute to production until 2026. DD&A expense. We're increasing our full year DD&A expense to approximately $16 per BOE due to the increase in expected full year oil production. Projected cash taxes have changed with the One Big Beautiful Bill Act signed into law on July 4th. While we're still evaluating, we expect to benefit from certain key provisions and as a result, have reduced our expected cash taxes to approximately $10 million for 2025, down from a range of $75 million to $95 million. You can expect to see the financial impact from the OBBBA to be reflected in our third quarter financial statements. For those of you that model quarterly, a few points regarding the third quarter. Production for the third quarter is expected to range from 209,000 to 215,000 BOE per day at approximately 53% to 54% oil or 111,000 to 116,000 barrels per day. CapEx is expected to range from $300 million to $320 million and is expected to include approximately 25 net drills and approximately 30 net completions. We're regularly asked about our plans for 2026. I'm on Slide 18 now. Given the uncertainty in the commodity price environment, we don't expect to discuss our plans for 2026 until early next year. We have significant optionality across our 3 core areas. We remain steadfast in our pursuit of innovation, improving capital efficiency, operational excellence and expanding our portfolio of top-tier inventory. As a premier operator, we continue to demonstrate environmental stewardship and deliver a sustainable return of capital program comprised of fixed dividends and debt reduction to a target level of 1x to enable us to return to our stock buyback program. In closing, we're very pleased with our results through the first half of the year. Completing the integration of our newly acquired Uinta Basin assets and moving into optimization mode is an exciting achievement. A special shout out and thank you to all members of team SM for the very high level of performance during the first half of the year. This performance once again highlights our excellent team and our top-tier low breakeven assets. With the balance sheet already in a strong position, our prioritization of free cash flow toward debt reduction has it poised to become even stronger. With the plan intact for the second half of the year, we're excited to have line of sight to returning additional capital to our stockholders in the near term through our Board-approved stock repurchase program. Thank you for listening today, and we look forward to answering your questions on the live Q&A webcast and call tomorrow morning. Have a great evening.